Operator: Ladies and gentlemen, thank you for standing by. And welcome to the Commvault Q3 Fiscal Year 2020 Earnings Conference Call. At this time, all participants are in a listen only mode. [Operator Instructions] Please be advised that today's conference is being recorded. [Operator Instructions] I would now like to hand the conference over to your speaker today, Mike Melnyk, Director of Investor Relations. Thank you. Please go ahead, sir.
Mike Melnyk: Good morning. And thanks for dialing in today for our call to discuss our fiscal third quarter 2020 earnings results. Before we begin, I'd like to remind everyone that the statements made during this call, including in the question-and-answer session at the end of the call may include forward-looking statements, including statements regarding financial projections and future performance. All the statements that relate to our beliefs, plans, expectations or intentions regarding the future are pursuant to the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995 and are based on our current expectations. Actual results may differ materially due to risk and uncertainties such as competitive factors, difficulties and delays inherent with the development, manufacturing, marketing and sale of software products and related services, and general economic conditions. For a discussion of these and other risks and uncertainties affecting our business, please see the Risk Factors contained in our Annual Report on Form 10-K and our most recently quarterly report in Form 10-Q, and in our other SEC filings, and in the cautionary statements contained in our press release and on our website. The company undertakes no responsibility to update the information in this conference call under any circumstance. In addition, the development and timing of any product release, as well as features or functionality remained at our sole discretion. Our earnings press release related to today's announcement was issued over the Wire services earlier this morning and has been furnished to SEC as an 8-K filing. The press release is also available on our Investor Relations website. On this conference call, we will refer to non-GAAP financial measures. A reconciliation between the non-GAAP and GAAP measures can be found on our website. This conference call is being recorded and a replay is available for webcast. An archive of today's webcast will be available on our website following the call. With me on the call this morning are Sanjay Mirchandani, President and Chief Executive Officer of Commvault; and Brian Carolan, Chief Financial Officer of Commvault. Sanjay and Brian will each share opening remarks and commentary before we open the call for Q&A. Now, I'll turn the call over to Sanjay.
Sanjay Mirchandani: Good morning. And thanks for joining us today. I’m just a few days away from my first full year of CEO and couldn’t be prouder of the entire Commvault team and all we’ve accomplished over the last 12 months. We’ve positioned the company for a return to growth and reaffirmed our place as a leader in the industry. I want to thank all our employees around the world for their ongoing dedication to which this exciting journey which in some ways is just beginning. I’m also pleased to report that we again delivered results above expectations all while successfully launching our new SaaS offering Metallic integrating Hedvig, our first major acquisition and refreshing our overall data management portfolio, including Commvault activate simply and hyperscale. Our ability to deliver these results is due to the innovation execution and simplification priorities we established at the start of the fiscal year.  We achieved many milestones, but there is more for us to do. As we continue our journey as a new Commvault, I’m confident about the trajectory and our return to growth in fiscal 2021. Brian will provide more context on our better than expected results and our outlook, but first let’s discuss our strategic priorities and the work underway. I’ll start with innovation, the cornerstone of our company. For more than two decades, we have been relentless in our pursuit of innovation excellence this quarter was no exception. As I said from day one, our innovation is focused on helping customers with their journey to the cloud. Today, our customers manage more than 800 petabytes of workload in the cloud using Commvault products, and that’s based on approximately 60% of our customers reporting. We’re also committed to giving customers ease of use, the value and choice in how they want to consume our technology, be it on-premise or in the cloud. Metallic, our Software as a Service Solution exemplifies this customer-focused approach. The rave reviews some customers, analysts and partners at Commvault Go generated new customers and many initial trials. I look forward to sharing more with you in the quarters ahead. Our innovation doesn’t stop there. Since closing the Hedvig acquisition on October 1, we have been diligently integrating the technology, talent, and product. With Commvault's go-to-market muscle and growing specialized sales force, we have added customers, expanded our pipeline and put several large proof-of-concepts in play. It’s early days, but I’m pleased with the progress. I’m even more excited about the future because the data related problems that customers encounter in the cloud require a whole new approach. We believe Commvault with Hedvig is the only company with a vision, experience, and products to bring data and storage management together for a unique and differentiated solution to customer’s current and evolving needs, more to come on that. And we continue to innovate the products that our customers are dependent on for years. During the quarter, we reintroduced an easier to buy and consumer version of Commvault Activate, a feature-rich product to help customers to address their e-discovery and sensitive data governance needs.  At Commvault GO, Scott Hunter, Director of Global Infrastructure Services for AstraZeneca, talked about how he successfully uses Commvault Activate for file services optimization and data governance, including GDPR. Momentum continues to build for this product.  We also introduced innovations to Commvault Complete, including cloud-to-cloud data backup in migration, automated disaster recovery validation, intelligent elastic storage planning and powerful workload data protection. These new capabilities simplify recovery readiness and enable customers to take on today’s toughest data challenges.  And finally, momentum continues to build for our Commvault Hyperscale solutions, which are consistently contributing to our revenues delivering more than 10% year-over-year growth in the third quarter. And 6 of our Top 10 customers are now running Commvault Hyperscale, proof that this technology is enterprise grade and scales in even the largest environments.  As a technology company, innovation is always critical, but innovation alone will not deliver the results, we also need to execute flawlessly. Last quarter, our execution focus helped us deliver better than expected results. We added approximately 200 more subscription and utility customers during the quarter. We expect to deliver more predictable and recurring growth as more customers embrace the subscription model and invest beyond our traditional offerings to pursue new value driven used cases. And we’re selling across all market segments, including seven figure deals to large enterprise customers and small and medium enterprise segments that deals under $500,000 were up approximately 30% sequentially. Many of these deals were partner led, which we believe is a result of our improved execution of the channel. In Q3, these included the Benetton Group SBA, City of Edmonton, and closer to home, the Monmouth County share box. Let’s take a moment to talk about two of these deals. First, we beat the Incumbent vendor and other competitors to provide guaranteed BBVA, the second largest bank in Turkey, with Commvault Complete. This will support all the critical operational elements for the tightly regulated financial services provider. It was one of the largest wins in the EMEA region.  Second, in the U.S., we deepened our relationship with long-time customer, Qorvo as a $13 billion plus innovation tech company, Qorvo’s chipsets are found in most electronics, including cars and aircraft. They selected Commvault Hyperscale software with HPE servers as an economical repository to locally achieve archived QA data sets off of frontline storage using Commvault. Rich Kellen, Qorvo’s Chief Information Security Officer and Head of IT Infrastructure recently said, ‘We’re excited to build on our long-standing success together through the expansion of Commvault Hyperscale technology, which allows us to easily scale out protection to new data volumes while reducing complexity and cost.’ We’re winning across various customer segments globally because our robust technology solves multiple problems with customers. And our innovation and execution initiatives differentiate us in the marketplace and lay the foundation for growth. Another key element of this foundation is our people. I believe great opportunities attract great people, and I’m pleased to say that we’re attracting world-class talent. This quarter, we strengthened our global presence and expertise with two veteran sales leaders. Marco Fanizzi, joined us as our Vice President for EMEA, formerly an enterprise sales leader at Dell Technologies. Marco brings more than 30 years of experience in the enterprise data industry and will drive our growth objectives across Europe, Middle East and Africa. Callum Eade, formerly Vice President, APJ, for the software defined data center business at VMware, joined as our Vice President for APJ. Leveraging his extensive sales and business development experience, Callum will be responsible for driving growth across APJ. And Sam Keating joins us as VP, Go-to-market Strategy. He brings more than 20 years of experience in strategy operations, corporate development and sales. These industry veterans joined David Boyle, our America sales leader and round out our world-class sales leadership team led by Chief Revenue Officer, Riccardo Di Blasio. In addition, as we shared last quarter, we continue to invest in expanding our sales force with Q3 being one of our strongest field recruiting quarters. And finally, we made sustainable progress with our third priority, simplification. Internally, we aligned our tools and processes to help us manage and drive better predictability and linearity in the business. That’s evident in our recent results. And our new simplified user experience with Metallic, Activate and Command center contributed to a strong net promoter score and the addition of new customers. With that, I’ll turn it over to Brian to cover our financial results and guidance for the upcoming quarter. Brian?
Brian Carolan: Thanks Sanjay, and good morning everyone. I will now cover some financial highlights for the third quarter of fiscal 2020. Total revenue in the third quarter was $176.3 million, representing a 5% sequential increase. FX movements did not significantly impact our results this quarter. Software and products revenue was $76.6 million, representing a 12% sequential increase. Revenue from enterprise software deals, which we defined as deals over $100,000, represented 66% of software and products revenue for the quarter, an increase from 64% in Q2 2020. Revenue from these transactions was up 15% sequentially. Our average enterprise deal size was approximately $279,000 during the quarter. The average tenure of our relationship with these customers those purchasing more than $100,000 in software is almost nine years. This is a testament to our technology, customer service and the ability of our products to drive value for customers over time. Now, I’ll review our results by geography. Our largest region, the Americas, increased 12% sequentially with growth being driven by 26% sequential increase in the number of enterprise revenue transactions. EMEA was up 36% sequentially and was also driven by higher volume of enterprise revenue transactions. The number of these transactions nearly doubled from Q2. APJ decreased 36% sequentially coming off a strong quarter for that region in Q2 2020. Total services revenue was approximately $99.7 million remaining flat year-over-year and a slight increase sequentially. We continue to see strong maintenance renewal rates as measured on a weighted average dollar basis. These renewal rates average approximately 90% for our entire customer base and over 95% for larger customers. In fact, over the past five years, 97% of the Top 100 customers and 90% of our Top 500 customers remain active with Commvault today. These statistics are evidence of our relentless commitment to our customers and we greatly appreciate their loyalty. Now, I’ll touch on our subscription pricing models and our continued shift to more repeatable revenue. We see customers continuing to transition to consumption models that provide flexibility to adapt to changes in their business. We have highlighted two revenue metrics to help investors track the growth and progress of our subscription revenue transition. These two metrics are repeatable revenue and annual contract value or ACV. I’ll start with of start with repeatable revenue. As a reminder, our primary repeatable revenue streams are subscription software and maintenance services. We consider approximately 70% of our Q3 fiscal 2020 total revenue to be repeatable in nature. These repeatable revenue streams, which were up approximately 2% year-over-year, continued to outperform our non-repeatable revenue and help provide us with more visibility and predictability as they grow as a percentage of the base. We believe this increasing high-margin repeatable revenue stream should drive improved profitability, free cash flow, and increased shareholder value over time. Our second metric is ACV. This metric demonstrates the growth of our subscription and utility-based pricing models. As of Q3, ACV has grown to $140 million, up 56% year-over-year and up 16% sequentially. As Sanjay mentioned earlier, our growth in our subscription and utility customer base drove a 4% sequential increase in these revenues, which represented 42% of software and products revenue, up from 37% in Q3 2019. As a reminder, our weighted average subscription contract length is approximately three years. In FY 2021, we expect to start seeing a meaningful impact of the renewals of the subscription agreements that we sold in FY 2018, which was our first year of adoption of ASC 606 and when we started focusing on more repeatable software and services revenue streams. The progress we're making is evident in sequential improvement in all of our key metrics. As stated on our prior calls, our objective is to grow sequentially in each quarter of fiscal 2020. Turning to some other key P&L metrics. Total operating expenses were approximately $115 million for the quarter, down 4% year-over-year. We continue to optimize our overall expense base by reallocating resources towards investments in our go-to-market strategy, innovation and other growth driving initiatives. In the third quarter, we began to incur costs associated with filling open field positions. Operating margins were 16.4% for the quarter, resulting in operating income or EBIT of approximately $29 million. Net income for the quarter was $21.7 million or $0.47 per share, based on the diluted weighted share count of approximately 46.6 million shares. I’ll now shift gears to our balance sheet and cash flows. As of December 31, our cash and short-term investments balance was approximately $337 million, down $138 million from our balance on September 30, 2019. During the quarter, we closed the Hedvig transaction. For the terms of our purchase agreement, we paid approximately $157 million in cash as part of the transaction. Free cash flow, which we define as cash flow from operations, less capital expenditures, was approximately $400,000 for the quarter. Fiscal Q3 was an unusual quarter from a cash flow perspective. First, free cash flow was adversely impacted by approximately $8 million of non-routine severance payments related to recent restructuring. Second, we paid $5 million of Hedvig transaction costs. Finally, we returned to more historical linearity in Q3 versus Q2. We expect free cash flow to normalize in fiscal Q4. We did not purchase any shares during the third quarter, but we intend to remain opportunistic with our repurchase program. As such, last week, our Board of Directors increased the share repurchase authorization to $200 million and extended the authorization period for another year through March 31, 2021.  As of December 31, 2019, our deferred revenue balance was approximately $333 million, an increase of 2% year-over-year and 4% sequentially. On a constant currency basis, deferred revenue was up 3% year-over-year and up 2% sequentially. Nearly all of our deferred revenue is services revenue that has been invoiced to customers. Now, I’ll discuss our near-term financial outlook. We’re pleased with the progress we’ve demonstrated in recent quarters, but we have more work ahead of us. That said, we're confident in our Q4 outlook and we expect to meet or exceed the current fiscal fourth quarter consensus estimates. As always, factors such as deal size and timing of close rates can cause variability in our quarter-to-quarter results. Before I wrap up, let me briefly update you on our share count. As a result of stock issued as part of the consideration for the Hedvig transaction, we expect a diluted weighted share count of approximately 47.2 million shares in Q4 2020. Now, I’ll turn it back to Sanjay for closing remarks. Sanjay?
Sanjay Mirchandani: Thank you, Brian. Modern IT is fundamentally changing the way organizations deliver value. However, it also introduces massive complexity and data fragmentation, which seriously undermines an organization's security, resiliency and competitiveness. Worst though, it still increases the risk because a single event could threaten the bottom line. Aggressively managing the entire data state is vital to future-proof and unlock an organization's opportunity. More than ever, I believe Commvault is the most steady, trusted and proven vendor to help customers get ahead of this. We deliver a radically simple yet infinitely scalable way to store, protect, manage and extract from all of the data no matter where it lives. We know data management because we invented data management. For the past 20 years, we’ve built a rich portfolio, industry recognized solutions, and secured more than 800 patents and 350 pending applications for our technology, and we have a laser focused innovative data management roadmap for the future. That is why I’m confident. We have the innovation, endurance and commitment to make our customers ready to deliver value for years to come. Now, we’ll open up the call to questions. Thank you.
Operator: Thank you. [Operator Instructions] Our first question comes from Jason Ader with William Blair. Your line is now open.
Jason Ader: Yes, thank you. Good morning guys. Let’s see here, the first question I have just on the Hedvig contribution, if you could help us either with the quarter that you just reported in the guide, how much contribution you're expecting from Hedvig?
Brian Carolan: Yes. so, hi Jason. Its Brian Carolan here. Good morning. Yes, so Hedvig is part of the overall numbers, nominal revenue contribution consistent with our expectations. It’s obviously in the early stages and we’re not going to get into specific expectations around that, but, you know, we’re pleased with the progress of the integration efforts throughout this past quarter and I think we’re off to a good start.
Sanjay Mirchandani : Yes, it’s Sanjay. Hi, Jason. Good morning, and so, you know, it’s going – I’m very pleased. I’m pleased with where we are. This was our first acquisition. like I said last quarter, we’re going to be very diligent about how we integrated it between the people, the technology, the products making sure we got everything right. We've been in the throes of that, and we’re very happy. In the process, we’ve also built out a specialized sales organization. We’ve got some really significant proof-of-concepts in play. We’ve made some sales. We’ve added some new customers. We’ve added to existing customers. So, it’s exactly where we wanted it.
Jason Ader: Okay. And then, Sanjay, just so that you can help us kind of frame the future here, what is the strategy in terms of growth in margins as you think out for the next few years? Do you – you know are you kind of held-bent on getting back to double-digit growth, you know, may be at the expense of margins? Or would you be more satisfied with let’s say something like 5% to 10% growth and meaningful margin expansion?
Sanjay Mirchandani: You know, again, I’ve been consistent in my outlook and the way I’ve sort of structured the past year, coming on a year in a couple of days. It’s been about, you know, simplification, innovation and execution. What that led us to is predictable quarter-on-quarter sequential growth, and so far, so good. We’ve been able to deliver against that. And it's not been at the necessity of the cost of margins. We've been across the board trying to be whole as we can be in growing the business. Hedvig and Metallic, and the core has got the – you know we got critical mass, but Hedvig and Metallic continue to be businesses we need to invest in, and, you know, coming into next quarter, we’ll have more details, but right now, you know, its focused – all focuses on Q4 and making sure we integrate we these two technologies. 
Jason Ader: Okay. And then, one quick last one for me just what is the, let’s call it, one concrete item that you can point investors to in this current quarter that just reported that gives you confidence that, you know, things are really on the right path?
Sanjay Mirchandani: Let me – I’ll give you my take and I’m sure Brain has some financial underpinning. You know, I think overall if you just see the – you know first of all, being predictable and being able to really deliver what we said we were going to deliver internally and otherwise. This has been a transitional year. It’s a growing market; it’s a strong market. Our technology has been proven; our Net Promoter Score is high; our repeatability on business is high; and the growth drivers are on the technology of the eco-system and our own people is solid.  We’ve been able to attract more people this quarter in sales and marketing than we can remember. Like historically, it’s one of the strongest we've had. The deals we’ve done, so $500,000 across the planet, shows that the partner eco-system is getting to be more robust. And just some of the used cases and outcomes that customers are using our technology for are incredible. 800 petabytes with 60% of our customers reporting in cloud doesn’t mean they’re getting ready for the cloud, we are the cloud.
Brian Carolan: And, Jason, I’ll just carry on with that – those statements and echo that, but I'll add a couple of financial metrics behind that. I’m also, you know, really pleased with our more to repeatable revenue that we’ve been on this journey for the past several years. I mean if you look back to pre-adoption of ASC 606, way back in FY 2017, less than 10% of our software and products revenue were subscription-based contracts, now that’s well over 40%. You combine that with our other repeatable revenue streams and which is north of 70%, and then, you now, further validation is just the customer loyalty and just the stickiness of our customer retention rates that I mentioned on the call. So, all those things are really positive proof points that are benefiting us now, but also will benefit down through the future.
Jason Ader: Thank you.
Sanjay Mirchandani : We’re confident folks, I believe that’s true.
Operator: Thank you. Our next question comes from Aaron Rakers with Wells Fargo. Your line is now open.
Aaron Rakers: Yes, good morning guys. Thanks for taking the questions. You know kind of building on that last comment, you know, Brian, as we start to think about the set up and the three year anniversary of your subscription strategy as we move into fiscal 2021, maybe it’d be helpful just to kind of if you can at a high level just remind us or walk us through the mechanics of how we think about subscription and assuming that you kind of retain that 90% renewal rate? And I guess underneath of that, you know, as we think about the business model, how much of your business, you know, today is what would you would say as being new customers versus kind of, you know, that set up going into next year really harvesting that install base? I’m just trying to think about parsing through what we could – should think about in terms of the subscription renewals versus, you know, the growth on top of that from new customer expansion?
Brian Carolan: Yes. Good morning. Aaron, I hope you’re doing well. So, yes, I think you have to chunk this up into a couple of different areas. So, let’s start holistically with just repeatable revenue in general, which is greater than 70% of our total revenue. You know, we obviously have, you know, large customer base or loyal customer base, strong renewal rates. So, we’re really happy with that stability it adds to our overall, you know, underlying revenue. So then – you know the next step in the journey that we’ve been on is, you know, rolling out through subscription arrangement. As you mentioned, we started selling these in earnest in FY 2018. You know metrics such as our ACV being up 56% year-over-year. It’s up more than three-folds since FY 2018, and as I mentioned, you know, the average contract length is about three years. So, you know, we’re looking forward to that first true meaningful anniversary coming up in FY 2021. There’s still work to do because I mean this is obviously – it’s a journey with the customer. It’s part of our customer success profile. You know, we’ve established customer success teams. We’ve got leaders in place to make sure that we’re approaching them and giving them the choice of what they should do and want to do and then compounding that, we’re really excited about, you know, Metallic and what that offers from some incremental subscription revenue possibilities for us. That’s our new SaaS product. So, it's yet another repeatable and recurring revenue stream. So, I think the combination of all those is what gives us confidence heading into FY 2021. 
Aaron Rakers : Yes, okay. Go ahead.
Sanjay Mirchandani: No, I was just going to say from, you know, another slant on that outside of the numbers, which, Aaron, I think is important is are we creating new pathways to new customers. So, Hedvig, new set of customers, you know, Metallic, new set of customers; add-on products like Activate to our core, new set of customers; workloads moving rapidly to the cloud where we’re integral part of that for our customers, brings new customers. So, all of these, more than, you know, more than looking backward we’re looking forward to creating new avenues to drive that for our customer, through our process.
Aaron Rakers: So, I'm sorry to kind of go back to this, but, you know, let’s say a customer, let's just use simple numbers, $100 of subscription was signed in 2018, they renew it at year-three, the rev rec of that renewal, again, remind me of the mechanics of that under the recurring, you know, mechanism?
Brian Carolan: Yes. Sure, no problem. So yes, if it’s a customer who signs an original subscription agreement with us, so back in FY 2018, typical contract length would be about three years. That entire contract would be up for renewal again in FY 2021. We would actually then recognize that full amount of software embedded in that contract in the quarter of the sale in FY 2021. The only thing that gets deferred is really the attached maintenance that could spread over three years. But yes, we have the benefit of recognizing that in the period of sale.
Aaron Rakers: That’s perfect. And then, the final question for me is just you mentioned about filling some sale – open sales, you know, positions or filling some of the sales capacity. Can you help us understand any kind of metrics that we would think would be useful around where we stand today on sales capacity, you know, how much of that expanded, how much of sales capacity is productive? Just trying to think about how we think about that, you know, ramping as we think about the set up in the 2021?
Sanjay Mirchandani: And that'd be giving away everything to the competitors. So, let me just tell you it was one of the – it was I got a key – as the only pure play, data management company that’s public, I just need to keep something close to my chest. You know, I would say to you that we had one of these not the best intake of field sales professionals in Q3, okay. All over the world, we hired new leadership, new systems and – you know SEs, Systems Engineers. We’ve really done a good job of intake over the last of couple quarters particularly in Q3 and the momentum continues into Q4. But we’re working as I said last quarter as hard as we can to fill the positions we have, and you know, we’re being ambitious with that. So, – and then we've just – we really revamped our internal enablement program to shortcut our productivity dramatically. We put a world-class enablement program into play in the company and for our channel as a matter of fact because we see them as an absolute part of our selling motion. You know, good people bring in great the people and we’re really pleased with that. So, sort of giving you the exact numbers, I’ll tell you that I’m really pleased. We’ve got more open positions. It’s a global thing. We’ve got new leadership and they are bringing us amazing talent into the company and we’ve got some great talent already within the company.
Aaron Rakers: Great, thanks guys.
Operator: Thank you. Our next question comes from Alex Kurtz with KeyBanc. Your line is now open.
Alex Kurtz: Yes, thanks. Good morning, everyone. Apologize for the background noise here. So, on the renewal kick-offs here, Brian and Sanjay, will there be any changes to how the sales force has comped? You know on Aaron's example, the $100, are we going to – are they going to be comped on the $100? Or they can only be comped on new bookings?
Brian Carolan: Yes, Alex, I don’t think we’re going to give all our exact specifics where in our compensation plans, that just wouldn’t be appropriate right now, but I will say that we’re well organized or aligned internally with something that we’re squarely focused on. It’s part of our expectations heading into FY 2021.
Sanjay Mirchandani: Almost more importantly by May. Almost more importantly it’s the motion with which we are approaching our subscription business both from a – you know from a land expand and renew motion with a true customer success team that we have put in place and are growing well-integrated into Ricardo's selling motion and the partner community. We’ve spent the last two quarters really getting the mechanics of all that in place and with the enablement initiatives I mentioned we’re well on our way. You know, obviously compensation will align, but it's not the primary driver. Having the right go-to-market motion is what we’ve been focused on.
Alex Kurtz : Sanjay, just a follow-up on that. I mean from everything you’ve said this morning, it seems like the organization is at a place where the sales force to really be focused on incremental bookings on the renewals, not just the renewal. Is that a fair way of looking at it given all the new products and…
Sanjay Mirchandani: Of course. 
Alex Kurtz : Okay.
Sanjay Mirchandani : Our core sales force is focused on bringing, you know, bringing the composite value to our customers both new and existing. We've got customers that view outcomes that they want, new parts of the journey they're on. It’s not at the cost of existing customers but we're definitely focused on new customers as well.
Alex Kurtz: Okay. And then, last question for me, just – you know, Sanjay just looking at the strong large deal execution, especially I think in Americas some of the stats you’re giving earlier. So, was that driven by a couple of deals that really drove Americas in large deal flow? Or was there something else going on in the sales force, you know, quarter-over-quarter that helped you out perform?
Sanjay Mirchandani: We did what have a couple of large deals, but were actually – it was more volume driven and we’re really pleased by that because it's actually disperses it. It was a good spread. It was actually a good spread of deal sizes cross-segments. So, yes, it was a nice spread.
Alex Kurtz: Okay. Thank you.
Operator: Thank you. Our question comes from Brent Thill with Jefferies. Your line is now open.
Joe Gallo: Hey, guys. This is Joe on for Brent. Thanks for the question. Brian, given you have so many different types of new products, you know, SaaS with Metallic, perpetual with Hedvig, HyperScale, maybe just walk us through the trajectory of gross margin both next quarter and next year, just how to, kind of think about it?
Brian Carolan: Sure. Good morning, [Brent]. So, in terms of the gross margins, I think, you know, we’ve reached a point of stabilization with respect to the gross margins heading into next year. I will say things like HyperScale, for example, which I think we called out in the call, we’re really pleased with that. It was strong year-over-year growth and sequential growth. In fact, Sanjay mentioned we’re starting to see that resonate even with our biggest customers. I think something like six out of our 10 largest customers are running HyperScale in their environment. That’s part of our gross margin profile. I think what you’ll see is I think we’ve reached a point of stabilization for the time being and as we get into that point 2021 and we have more recurring revenues, we have new offerings such as Metallic etcetera, you know, we’ll obviously keep you updated on the gross margin profile and any changes.
Joe Gallo: Okay, great. Thank you. And then it's great to see you did what you said you were going to do two quarters in a row now. It’s good to get some consistency. Maybe just regarding the long-term targets, when can we expect that when we get full-year guidance next quarter, and then, further than that, it seems like the renewal opportunity mathematically is the biggest opportunity for fiscal 2021 maybe just rank order, Metallic, Hyperscale and Hedvig?
Brian Carolan: So, let me just touch on the margins and I’ll – and long-term guidance and I’ll let Sanjay also way in here. You know, right now we’re focused on delivering kind of one quarter at a time. I think we’re setting, you know, hopefully, you know, achievable targets for ourselves, and you know, heading its FY – let’s get through FY 2020 and heading into FY 2021 we’ll provide, you know, further commentary at that time.
Sanjay Mirchandani: Yes, it’s – you know it was important, I guess. It’s a sort of – we do this ourselves, we remind ourselves, given the pace at which we’re working that it is a transitional year. We’re coming out of a year that has been truly one that’s gratifying and that we’ve turned the corner many things, but just have work to do. And I don’t want to get ahead of myself. This two quarters in a row doesn’t – you know the job isn’t done with that. It’s – we feel like we're beginning to turn the corner. Next year we’re saying, you know, we’re going to return to growth in fiscal year 2021, more details to follow, guys. We're just feeling confident that the right building blocks are in place.
Brian Carolan: And [Brent] just going back to your question just on areas of focus, I mean obviously we’re keenly focused on everything, and you know, we view this as it presents opportunity for us. You know this is going to be the first meaningful year of our renewals. We have, you know, new things such as Metallic and Hedvig. HyperScale is starting to take hold, so we also have just our core, you know, capacity and selling force that we’re investing in. So, we’ve got a lot of areas of investment, a lot of areas of opportunity. We’re obviously trying to keep things keenly focused heading into next year.
Sanjay Mirchandani: You’ll get more.
Joe Gallo: Sounds great. Thanks guys.
Brian Carolan: Thank you.
Operator: Thank you. Our next question comes from James Fish with Piper Sandler. Your line is now open.
James Fish: Hey, guys. Congrats on the quarter. I don’t think it would be a Commvault quarter if somebody didn’t ask a competitive question, so I’ll squeeze that one in. So, one of your competitors had some interesting news this and it is now moving into the U.S. What do you guys see in terms of near-term opportunity and how do you feel about this kind of issue longer term as they move into your core backyard?
Brian Carolan: You know, it’s – first things first. You know it validates the space we’re in. It validates what customers, you know, what we're doing for our customers. It’s a growing market; it’s a strong market. You know, they’ve been around as a competitor for a while, so it’s not new. What I focus – I don’t focus so much – I don’t focus the company so much on what they’re doing as much as what we do well. But what's really important here is to focus on what Commvault does really well, and we’ve been around for over 20 years, day in and day out solving hard problems for our customer. Like I said, over 800 patents, over 350 in filing. We are focused on innovation and solving hard problems. And competitors come, competitors go. We've been around for 20 years. I’m glad to be around for next five.
James Fish: Got it. And then, Brian, our maintenance dollar [attach rates] any difference between the term licenses versus the perpetual contracts? And also, how should we think about professional services as we continue to shift more toward current subscription?
Brian Carolan: Sure. So, in terms of the maintenance rates, I think they’re generally aligned, you know, kind of a rounding difference on perpetual versus subscription. Professional services business, again, this is an area of opportunity for us. We – you know and working with our partner network and also what we can do internally to help our customers on their journey to the cloud and also some unique offerings that we’re entering, especially with Hedvig and other new areas of opportunity. We’re going to captalize on that from a professional services standpoint moving forward. 
James Fish: Got it. Thanks guys.
Brian Carolan: Thanks James.
Operator: Thank you. And our next question comes from Ryan Myers with Lake Street Capital Markets. Your line is now open.
Ryan Myers: Hi, good morning guys. Thanks for taking my questions. First one here, can you just give us some details on the mid and long-term growth initiatives that you guys have planned?
Sanjay Mirchandani: Sure. So, Ryan, I think, you know, again, we’re focused squarely on finishing out this fiscal year. Again, we’re – you know, our growth drivers are, you know, they are the technology, the eco-system, the people that we’re investing in and we’ll – you know we want to get past this kind of view of transition that we’ve been in. It’s been a lot of hard work. I will let Sanjay comment more.
Sanjay Mirchandani: You know, just compared to our execution. You know the three initiatives that I keep talking about you know really the third piece. This is really the third piece. It’s all about execution, and what Riccardo and the rest of us at the company have sort of taken the lead on is, really segmenting how we play. You know, when you are looking at the marketplace globally, really focusing on the right segments where we add value, which is natural to us and over the course of the last year, we’ve invested heavily in our channel and channel ecosystem. So, between the partnerships we hopefully have been able to garner and build and create and our focus on how we go to market and productivity we are driving in there overlay with the products which we thought [indiscernible] richer set of products. I think we’ve got, you know that is our strategy. That is what we’ve been focused on. So, it’s not one size fits all, it is not doing everything for anything, it is about being super focused and between the segmentation, the products and our overall go to market strategy that’s what’s going to take us into next year.
Ryan Myers: Okay. So, that’s helpful. Next one. So, how have the customers responded to the new subscription pricing packages so far?
Sanjay Mirchandani: You are talking about our SaaS product based upon the tariff?
Ryan Myers: Correct.
Sanjay Mirchandani : Yes. No. So, if you recall, we only launched this some point in October at our Go Conference and then we get reopen it up to an extensive trial period for our customers which we have hundreds of customers embrace the trial. We’ve got new customers. Pricing hasn’t been an issue. I think the offerings are tight. They like them. They are straight forward to get up and running. We’ve got customers that have closed business with us in matter of days, because it is so easy and up and running. So far, all systems go and positive. And they are adding more partners. Again, keep in mind, it hasn’t even been 100 days.
Ryan Myers: Alright. Okay. And then last one from me, so Sanjay, now that you’ve been with the company for almost a year now. Can you talk about some of the things that you’ve learned in the past year that you think will help set yourself and the company up for success going forward?
Sanjay Mirchandani: You know what, I’m more excited today and say this with complete honesty. I am more excited being here today a year in then I was coming in and I am an excitable chap, okay, and I am really excited. I think the company has been dealt with strong fundamentals, great people, customers that have been with us that Brian shared numbers that are just staggering, you know been with us since the beginning of us being a company, you know 90% plus renewal rates. They are all testimony to how strong the fundamental this company are. You know, the last year has been transitional. It’s one where I look back and feel like I have put our team through a lot and they have responded and they have responded positively and I feel very confident going into next year. This is going to be where we return to growth and deliver to our expectations.
Ryan Myers: Alright. That’s it from me. Thanks guys.
Sanjay Mirchandani: Thanks Ron.
Operator: Thank you. And at this time, I’m showing no further questions. Ladies and gentlemen, thank you for your participation on today’s conference. This does conclude your program and you may all disconnect.